Operator: Hello, and welcome to the Cofinimmo Full Year 2024 Results. My name is Laura, and I will be a coordinator for today's event. Please note, this call is being recorded. [Operator Instructions] I will now hand you over to your host, Jean-Pierre Hanin, CEO, to begin today's conference. Thank you.
Jean-Pierre Hanin: Thank you, Laura. Good morning, everyone, and thank you for joining us today, as we dive into Cofinimmo's results for the financial year 2024. I'm joined by my colleagues, Jean Kotarakos, CFO; Yeliz Bicici, COO; and Sebastien Berden, COO. We've got a lot to cover today, but we'll try to keep it short to ensure that there is enough time to answer to your questions. Let me kick off with the highlights of last year. In 2024, Cofinimmo signed solid -- again, solid results and we pursued our activity -- active portfolio management. In total, over the last 3 years, we succeeded in divesting around €700 million of which almost €500 million in offices. In 2024, we were again net seller with net divestment of €97 million. This leads to a low debt to asset ratio of 42.6%. 2024 shows a net result from core activities higher than the outlook at €244 million. Occupancy rate is still very high. Gross rental revenue are up nearly 2% on a like-for-like basis and our cost of debt stays stable at 1.4%, which is still one of the lowest level for REITs in Europe. Healthcare real estate now makes up 77% of our €6 billion portfolio. And the office segment was reduced to well below the €1 billion mark and is now largely recentered on the best area of Brussels' Central District. On the sustainability front, we are proud to say that Cofinimmo is recognized as one of the most sustainable companies in Europe by notably the Financial Times and Time. We can now confirm that the Board will propose to the general meeting to distribute a gross dividend for the 2024 financial years payable in 2025 at €6.20 per share, in line with the guidance. Our company profile and strategy are known by all of you, so I am going directly on Slide #8. This chart, with whom you are familiar, illustrates the steep growth in Healthcare from 45% in 2017 to 77% to date. At the same time, the Office segment was reduced from 38% to 15%, and the Distribution Networks segment was halved. On Slide #9, you can see that we continue to diversify our footprint with a significant presence in most of the nine European countries where we operate. Today, more than half of Cofinimmo's total portfolio is located outside of Belgium. I'm now on Slide #10. Last year, we had net divestment of €162 million, essentially linked to the execution of development projects in healthcare. You know that the office market in Belgium was still muted last year. It's in this challenging context and after a remarkable end-of-year sprint, that we managed to divest for almost €155 million in this segment. We also performed asset rotation in two other sectors of activity, all in line with the latest fair value before signing. I'd like to thank my colleagues and all the Cofinimmo teams for this performance. Slide 11 summarizes for you the ongoing portfolio rotation since 2018. On Slide 12, there is a highlight of our accelerated portfolio growth since 2018, an average of 9% per year. We have the ambition to continue on this expansion path. In the meantime, thanks to the proactive management of the portfolio, we managed to keep our debt-to-asset ratio at an adequate level. On Slide #13, on the stock market, Cofinimmo's market cap is approximately €2.1 billion after a year marked by volatility despite solid operational performance. The daily liquidity remains solid. On Slide 15 to 19, you see that Cofinimmo's dedication to sustainability has been praised in Belgium and abroad. Our effort has positioned us as a very credible player in the industry. Let me give you some examples. Cofinimmo was already part of the Financial Times list of Europe's Climate Leaders for 2023 and 2024 as the only Belgian Real Estate Company. And Time Magazine has included Cofinimmo in the World's Most Sustainable Companies, a selection of 500 companies, of which only two are Belgian Real Estate Companies. I'm now on Slide 17, where you can see that our portfolio's energy intensity was reduced to 138-kilowatt hour per square meter in 2024. This represents a decrease of 27% since 2017, which is significant and put us on track to meet the target of 130 kilowatts hour per square meter per year in 2030. On Slide 18 and 19, we listed our benchmarks and awards. Now let's take some minutes to talk about the property portfolio. As shown on Slide 21, our property portfolio maintains a very high occupancy rate at 98.5%. On the same slide, you see the top 10 list of our tenants. Moving to Slide 22. The overall weighted average residual lease term remains quite long at 13 years and even at 15 years for healthcare. In 2024, I'm now on Slide #23, gross yield has slightly expanded at 5.9%, which means 5.6% net. Overall, our average net yields have been closer to 6% than to 5%. Sebastien Berden, CFO, will now provide insight into our Healthcare segment.
Sebastien Berden: Thank you, Jean-Pierre, and good morning to you all. Moving to Slide 25. Our mission remains steadfast to consolidate the leadership position within the European Healthcare sector. We achieved this through geographic expansion and diversification across various Healthcare segments. As illustrated in this slide, our comprehensive portfolio spans nine countries and includes a diverse array of healthcare assets. Next to Nursing and Care Homes, which still form the majority of our assets in all our geographies, we own acute and rehabilitation care as well as primary care centers, to mention only a few. Moving to Slide 26. In 2024, we continued our investment activity arising mainly from the execution of running development projects in high-quality healthcare real estate. The fair value of our healthcare portfolio amounts now to €4.6 billion and represents 77% of Cofinimmo's portfolio. We own 310 sites, more than 30,000 beds for almost 1.9 million square meters. This represents on average 6,000 square meters per assets. On Slide 27, we follow up on an initiative we presented for the first time during our February call last year. The table provides an overview of the underlying occupancy rates in our portfolio. I'm sure you remember that Cofinimmo diligently gathers data on the performance of our clients in the healthcare market and benchmarks this data with our internal D base and external market data. As a reminder, for 2023, we saw a continued improvement in occupancy rates in most countries. The average occupancy rate in the Cofinimmo's portfolio reached 92%. We were happy to observe that this positive trend is continuing in 2024. Please remind, however, that the data for 2024 is still preliminary and will be confirmed next summer during our July call. Slide 28 presents a summary of the eight acquisitions we completed in 2024, most of which being the completion of development projects we had in our pipeline. We also completed two projects after the closing of the financial year, which are summarized on Slide 29, together with a divestment in France. Finally, I would like to draw your attention to Slide 30, where we summarize the results of our proactive portfolio management. Executing our asset rotation strategy, we divested 11 assets, which no longer prove strategic or sustainable. I'll now hand over to my colleague, Yeliz Bicici, for an overview of Pubstone and offices.
Yeliz Bicici: Thank you, Sebastien, good morning, everyone. We can move to Slide 32 for the breakdown of our distribution networks, also known as the Pubstone portfolio. As a reminder, it consists of a long-term contract with AB Emeis for 822 pubs and restaurants in Belgium and the Netherlands. This segment will present a fair value of approximately €500 million, covering around 300,000 square meters. Just like in the Offices and the Healthcare segment, our asset rotation strategy and distribution networks has led to divestments for a total amount of €8 million. Let's move on to the Office segment as of Slide 34. The Office segment fair value, consisting of 25 properties for around 250,000 square meter, is of €829 million. Slide 35 illustrates the successful evolution of the portfolio with currently almost 3/4 of our assets being located in the CBD of Brussels. Slide 36 details the divestments realized in '24. As you can see, we've closed some important deals just before the year end with €120 million divestments in Q4 alone. On Slide 37, I'd like to recall the provisional delivery of our Montoyer 10 building in Q3 '24. This new landmark is a model of sustainability in the European corner in the CBD of Brussels. The Montoyer tenant has recorded unprecedented primaries of Brussels that is €400 per square meter. The quality of the building and its excellent location have already attracted two prime tenants, each committing to 9 year leases. Another outstanding project I want to highlight is the complete renovation of an office building in Mechelen of around 15,000 square meters leased to the Finnish community and which was delivered at the end of January '25. After the works, its energy performance is well above current legal requirements, thanks to extensive energy upgrades, a focus on the circularity of materials and the complete interior refurbishment. These renewals have been signed for 18 years with the tenant and the rents will be indexed based on the Belgian Consumer Price Index. I will now give the floor to Jean, our CFO, who will delve into the financial specifics.
Jean Kotarakos: Thank you, Yeliz. Good morning to all. We can go to slide 40, please. Here, we observed that our overall portfolio has experienced a 1.4% growth in gross rental revenues on a year-on-year basis of €5 million. The impact of investment and divestments on the top line having offset each other. This equates to a like-for-like rental increase of almost 2%, primarily fueled by new leases and indexation which has more than offset the impact of renegotiations and departures. As we move to Slide 41, we note that the 1.4% growth of the top line translated into a 1.3% increase of the bottom line at €244 million. The cost items being globally flat year-on-year. The EPRA earnings per share of EPS reached €6.50 per share, which again exceeded our projections. This NPL calculation incorporates the effect of divestments and the capital increases of '23 and '24, resulting in a cumulative impact of minus €90 per share for the full year. On Slide 42, we present the IFRS net result, which stands at €64 million as of end of December or €1.70 per share. This represents a significant increase of €119 million compared to '23. This increase comes from the uplift in the net results from core activities group share, €3 million, compared with the favorable evolution of the fair value changes of hedging instruments and of investment properties value, both on cash items between the two comparative periods. Drilling down into the portfolio results, we see a figure of minus €152 million as opposed to minus €217 million in '23. This encompasses the following key elements. Firstly, the gains or losses on disposal of investment properties amounts to minus €16 million. These results is calculated based on the fair value at the end of '23 of the assets divested during the period and the net price uptake. And secondly, the item changes in the fair value of investment properties is negative at year-end '24, minus €123 million compared to minus €182 million at year-end '23. On a like-for-like basis, the changes in the fair value of investment properties stands at minus 1.9% for the financial year '24. With a change in fair value over the fourth quarter, limited to minus 0.2% after minus 0.3% in the third quarter and minus 1.4% in the first half. This is mainly due to three items: One, first point, a change of minus 1.6% in Healthcare Real Estate, deriving mainly from negative revaluation in line with changes in market conditions. Second point, a minus 5.5% change in the Office segment, representing a near 15% of the consolidated portfolio in line with changes in market conditions in each of the subsegments in which the group is active. And third point for this, especially offset by a change of plus 2% in the property of Distribution Networks. Turning to Slide 43. We observed that our total assets are valued at approximately €6.4 billion with investment properties and assets held for sale at a fair value constituting nearly 94% of this figure. These assets are financed by more than €3.5 billion in equity and more €2.8 billion in financial and non-financial debt. Slide 44, offers an analysis of the nice decrease of the debt-to-assets ratio from 43.8% at the end of '23 to 42.6% by the end of '24. This change can be attributed due to several factors. Firstly, the impact of the net divestments is a reduction of the debt-to-asset ratio of 0.5%. Secondly, the fair valuation of the investment properties had an impact -- a limited impact of plus 0.8%, while the cash flow produced during the year and the dividend paid represents another net reduction of 1.4%. With current projection, we aim to maintain an almost stable debt-to-asset ratio of around 43% by year-end '25. On Slide 45, you can see that the EPRA NAV is at -- that the NAV is somewhere between €93 and €101 per share, which is somewhat lower compared to the full year '23. I can comment here on the evolution of the IFRS NAV between '23, where it stood at €98.61 per share versus €92.84 per share at end of December '24, meaning in fact that it decreased by approximately €6. There are three main drivers behind this decrease. First, the deduction of the '23 dividend paid in '24 for €6.2 per share. Secondly, the impact of the capital increase through the optional dividend in Q2, the net impact of this capital increase on the IFRS NAV is a dilution of minus €1.3 per share. Thirdly, we need to drive on the net result for the period, which generates a positive impact of €1.70 per share. Let's now turn our attention to the financial resources at our disposal. In the first half of '24, we successfully raised €75 million of equity following the optional dividends favorable outcome. Regarding the debt capital markets, there have been no new developments since 2022, when we issued the second sustainable benchmark of €500 million, as you can see on Page 48. It's also worth noting that S&P gave a credit rating of BBB with a stable outlook was reaffirmed in March '24 with the report being published at the end of April 2024. As depicted on Slide 49, we've been busy executing some significant refinancing operation last year. As a consequence, all but €3 million of the 25 maturities have already been refinanced. We did that at credit spreads that are down compared to those of the refinancings concluded in the previous financial year. Slide 50 illustrates that Cofinimmo now holds €2.6 billion in sustainable financing comprising various instruments, including a sustainable commercial payable program. Slide 51 highlights our continuous access to diversified funding sources, including relationships with 25 leading banks. On Page 52, you see that despite the passage of time, the average debt maturity remained stable at 4 years. The average cost of debt is also steady compared to '23. It stood at a very new level of 1.4% during the full year. Based on the information presently available for '25, we anticipate a very slight uptick in our cost of debt to 1.5%. On the medium term, we anticipate a gradual increase year-by-year to reach around 2.2% in '28 when the first benchmark bonds will mature. Another good news in the maturity table shown on Slide 53, where we can present a clean sheet for the '25 maturities, as I said earlier. Apart from that, our debt maturities are well distributed. The headroom on the committed credit lines for Cofinimmo [indiscernible] debt maturities currently stands at more than €1 billion after accounting for the backup of the commercial paper portfolio. Slide 54 shows that our interest rate risk was fully hedged at the end of '24 aligning with the group's long-term interest rate hedging strategy. Between '25 and '28, the hedging ratio varies from 99% to 88% with a rated average maturity of 4 years. I will now hand over to Jean-Pierre Hanin, who will present the outlook for '25.
Jean-Pierre Hanin: Thank you, Jean, for the detailed overview. On Slide 56, you will find the breakdown of the investment budget for 2025. Turning first to the investment aspect on the left of the slide, we are now considering gross investments for a total of €170 million for this year. Half of this amount is allocated to committed Healthcare project development, €26 million is under due diligence, and another €54 million is for other investment opportunities in Healthcare and €10 million for the Offices and Pubstone. Secondly, on the divestment aspect on the right side of the slide, based on our current evaluation, we target €100 million in divestment with €6 million already signed, €45 million under due deal, and €48 million of more opportunistic divestment. With this projection, the net investment would reach around €70 million at the end of 2025 and would have a nearly neutral impact on the debt-to-asset ratio, which is expected at around 43% per year-end. Now what does it mean for the outlook of 2025, as shown on Slide 57. As you can see, our target is a net result from core activities of €6.20 per share -- of €6.20 per share. This EPS reflects the pro rata temporis effect of the capital increase carried out in 2024 for approximately €0.09 per share. It also includes the divestments carried out in 2024 and budgeted in 2025, equating to €0.36 per share. For your convenience, we also added a line showing the expected denominator for the computation of the 2025 EPS. This outlook would allow the distribution of a gross dividend for the 2025 financial year payable in '26 of €5.20 per share, a level representing a gross yield of around 10% at the current share price corresponding to a payout ratio of 84%, in line with market practice. This dividend adjustment, which anticipate a further gradual divestment of offices allows for short-term stability and medium-term growth depending on opportunities in Healthcare real estate. In this regard, let's highlight that the demand for Healthcare infrastructure is growing throughout Europe with country-specific dynamics. Occupancy rate for operators of Healthcare assets continue to improve, enabling them to consider again additional infrastructure. So in 2025, we have the ambition to continue managing all our portfolio actively to remain the leader in sustainability and to consider interesting opportunities that would arise in the market. Thank you for your attention, and we are ready now to address your questions.
Operator: [Operator Instructions] We will now take our first question from Veronique Meertens of Van Lanschot Kempen.
Veronique Meertens: Maybe first, looking at your guidance, your operating margin improved quite a lot during the year. Is this something that we can -- that you expect to maintain this level of operating margin? Or was that more of a one-off in '24?
Jean-Pierre Hanin: No, I think, we keep tight control on our cost and the management of the company. So it's -- clearly, we have inflation indexation here and there, but we try to basically compensate that by other measures as much as we can. So for us, it's important to keep control on that.
Veronique Meertens : Okay. Very clear. And maybe looking at the investments, breakdown that you made. What are you currently seeing in the market? Is that more standing acquisitions that are interesting? Or is it more development and also the part that you already have under due diligence, where do you currently see most opportunities?
Jean-Pierre Hanin: Well, it really depends on the geographies. In certain geographies, development are still not there linked to construction costs that may remain quite high or other elements linked to, I would say, local environment in other geographies, you start to see healthcare operators thinking again about growth and having a discussion. So it's really country-specific or even sometimes within a country region specific. It's you cannot draw a line globally across Europe.
Veronique Meertens : Okay. But for your guidance, it's mainly looking also into acquisitions or more development?
Jean-Pierre Hanin: Yes, we have to see whether there are opportunistic acquisitions. You have seen that during the last 2 years, there were not many. And I always said you will remember Veronique, that the visibility in normal time, beyond 3 months was extremely difficult. I would say 3 months is still a big, big max. But they are reversed, there are people are talking. So clearly, there are more discussions than in the past.
Veronique Meertens : Okay. That's good to hear. And then, maybe one last question. On your like-for-like, there is also minus 1% from negotiations. Is this mainly from the Office part or from the Healthcare part, could you give some more detail on that?
Jean-Pierre Hanin: Yes, it's a mix of the two. And on the Healthcare part, which is probably the most interesting for you. It was a few cases where basically we exchange against concessions by the tenant, like, for example, longer awards, some minor adjustments you may have seen that a bit spreaded over the year. We don't expect that certainly not at this level in the future. But we consider it as a win-win as we receive something in exchange.
Operator: We'll now move on to our next question from Vivien Maquet of Degroof Petercam.
Vivien Maquet: A couple of questions on my end. Maybe first on the office and the strategy on the disposal. I think, you mentioned in the dividend, I would say that it also includes expected additional disposals. Just wanted to get your view on the strategy. Is the idea of looking for minority shareholders still the preferred route? Or do you believe you will sell asset by asset and then fueling into the healthcare?
Jean-Pierre Hanin: Yes. Well, I would say, Vivien, that we are opportunistic. So basically, we are open to both, but we are not waiting on the sidelines that someone show up for a stake in the full portfolio and holding on the asset-by-asset. So I think we can basically go along the two strategy in parallel, one does not exclude the other. And regarding also the strategy, you have noticed that the adjustment of the dividend anticipates the progressive divestment. The reason is that basically, we didn't want to have an adjustment every year depending on basically the base of office divestment. So basically, the new DPS is set at a level, net of the contribution of the offices, so we ensure stability for the future midterms and can envisage thereafter some opportunities upwards.
Vivien Maquet : Okay. Then maybe on disposal of the offices, could you maybe comment on the type of offices that you are planning to sell? Are we talking about prime office trying to get high price because of good assets with a nice tenants, core assets? Or are you mostly looking into maybe asset that you don't want to reposition or that you believe that the redevelopment potential is too low?
Jean-Pierre Hanin: Well, given the overall good quality of the portfolio, with the vast majority being now in the Brussels Central District, I would not say that we have bad assets to sell. So basically, what is important is to get a fair price. And for that, there might be local reasons, selling to someone which already owns the assets next door, adjacent, and so you can get a better value. So we are not targeting any specific area now, because we have the vast majority in CBD, which means that if we get a good price for CBD assets, we consider it, of course, and it does not diminish the attractivity of the whole portfolio because, as I said, the whole portfolio is already largely located in the best part of the CBD around the European institution, as you know.
Vivien Maquet : Okay. Then maybe one last question. Could you comment on the leasing activity in the M10? How is it going?
Jean-Pierre Hanin: It's going well according to plan. We had the delivery at the end of last year -- mid last year. And you know that we have recorded the prime rent. And of course, we get traction because of the nature of this building and 2025 should be the year where normally we complete the occupancy of this building.
Operator: We'll now move on to our next question from Frederic Renard of Kepler.
Frederic Renard: Just a few questions on my end. I will address them one by one. Maybe to come back on the like-for-like for healthcare. You mentioned it was specific to one specific situation. And you don't expect that to happen again. But what would you say for '25, '26? Can we take as an assumption that like-for-like would be in line with the indexation for your portfolio?
Jean-Pierre Hanin: Well, I think, clearly not comparable to '24, and we have not foreseen any situation. So clearly, we are much more confident also looking at the performance of our operators. So clearly, I would say that the weak point is behind us.
Frederic Renard : Okay. Maybe then another question on your portfolio value. So it was down, but gradually decelerating in terms of decrease. What would be your view for '25 in terms of like-for-like portfolio value?
Jean-Pierre Hanin: Well, you may remember, Frederic, that I said that we considered for us that '24 was the year where basically we wanted to clean the balance sheet and that's why it was spreaded over the fourth quarter. Clearly, as long as the interest environment stabilizes and gets even better, we are clearly on the stabilization point, and we hope to have improvement down the road.
Frederic Renard : Okay. And maybe a last one. Let's imagine a world where you would be trading at NAV. How big will it change your strategy today in terms of deals? And I guess the question would be also if it changed a lot, does it still worth it to be listed, in your view?
Jean-Pierre Hanin: Well, I, being the Chairman of the APR, you can expect my answer, Frederic. So we are a strong believer in listed real estate company. I think, one of the main advantage nowadays, which is often underestimated by many investors, is the transparency of listed real estate companies. If we look at so many funds that today are still highly leveraged and that have not adjusted their value in order how to reach covenant. I think, listed company not only offer liquidity to basically enter and exit, but also much more reliable figures and transparency. So I think Europe has still a lot to do and to grow compared to the U.S., which has a larger market. And I think, we are gradually growing. So we still believe in the listed model, which may give a bit less agility, but it's compensated by more protection for the investors. So from an investor point of view, I would clearly say that the listed model is much better. Now about the change in strategy, well, you know that our strategy -- the strategy resisted to the COVID. The strategy has resisted to the crisis started in '22 and even has been reinforced. So I think that you don't have many REITs that are transforming themselves coming from one segment 100% to another segment, 100%. And I think we continue down the road, still executing our strategy. It doesn't mean that we are not regularly revisiting it to make sure that the changing and very volatile environment require some adjustment or even a change. But so far, I think that the turmoil of the last years have confirmed that this strategy was a good one.
Operator: We will now take our next question from Steven Boumans of ABN AMRO ODDO BHF.
Steven Boumans: Maybe a question on growth. You stated that you have ambition to continue growing like the strong CAGR since 2018. And some questions how to look at that and how to fund it. So first, how likely are different forms of capital increase like acquisition in kind or maybe scrip dividend in '25? Second, do I see it correctly that the '25 targets do not include any form of a capital increase, like the ones mentioned? And third and last, if the opportunity is there, would you be willing to invest more than that €160 million target from that maybe partially with equity?
Jean-Pierre Hanin: Well, so there are various sub questions. So on the funding of acquisition, you know that we still have our office portfolio that basically is a sort of recycling capital for growth, and we want to continue, of course, using the office portfolio as a currency for our growth. We do also some asset rotation in healthcare. We do that since years. And we have a clear asset rotation plan. Being old-timer, I would say, in the healthcare segment, it's important that we also pay attention on asset rotation. And so we have not planned indeed equity increase or dividend script. The dividend script is something we never include in a guidance because it's -- it depends on the condition of the market and where the company stands and so on. So it usually decided a couple of days before the general assembly in May. And this year will not be an exception. No capital increase because basically, as you see our guidance, we still project to be around 43% at year-end at a very sound level with not a huge amount of divestment. You have seen that we have projected €100 million. So I hope that this year, we will not have the same cloud that the 3 last year where every year people were saying you will never make it in terms of reaching of divestment. And for the 3 last year, we made it. So this year, we have €100 million, half of it is already, I would say, underway. So a very achievable target. And in terms of acquisition, well, shall we do more that is in there. Of course, we still want to keep with a reasonable LTV, which does not give dry powder for a huge acquisition. But still, we have a big opportunity, and we have to use it at best to make it accretive for the company.
Steven Boumans : And with accretive, you mean accretive to EPS?
Jean-Pierre Hanin: Yes.
Operator: We'll now take our next question from Ferragina Francesca of ING.
Francesca Ferragina: The first one is around disposals. I see that the rhythm of disposals that you expect for 2025 is decelerating compared to the previous year. Can you explain your decision? Is that because you are looking at the office portfolio in a different manner compared to the past? Second question is about the investments that are to come in 2025. I see around €80 million committed development CapEx. Can you remind us what's the yield on these? And do you see room to optimize the pipeline as you did already with a few projects in 2024? The third one is about the transaction market. So what you see here lately? What type of assets, what type of yields and the investments that you are targeting to come? Is there any geography that you would like to prioritize in the current environment? Last question, I may be a little bit early on this, but I want to give a try on the dividend. Based on investments that you are announcing for 2025, do you think you'll be able to benefit from the reduced withholding tax for 2025? Or is this too early?
Jean-Pierre Hanin: Okay. Thank you. So on the speed of disposal, basically, the main reason why we had accelerated the disposal during the last years were linked to LTV that was considered by some, not all observers as a bit high. So now that we are in, I would say, a much more comfortable zone in terms of LTV, we don't see the need to already openly commit to an amount as high as in the past. But in practice, we are a seller of this category. So it's not that we notice a change on the market or that we change our strategy, it is mostly linked to balance sheet management than anything else. On the pipeline, it's basically the last part of the legacy pipeline and the yield on cost has not changed compared to what we said in the past, so around 5%. Transaction market, where there are portfolio that are in -- not officially on the market, but still in play already for a while, probably not the best quality, let me put it this way. Now in terms of geographies, well, I would say the south of Europe, especially Spain as an economy is doing quite well, which, of course, has an impact on many industries like Healthcare. The U.K. is quite active as we've seen the attempt that take over announced in the recent days. But you know that in the U.K., they are very old assets that are maybe high yield, but that are high maintenance, a lot of CapEx. So you need to make sure that you are in the good segment. Other geographies are still a bit quieter. So -- but this can evolve. But for the time being, it's a natural how we see things. For the dividend, the reduced withholding tax, the answer is no. And by the way, where we are from the political standpoint in Belgium, but we don't believe and we don't manage the company in line of fiscal legislation that might or even will be reversed. And the qualifying percentage of asset qualifying for the withholding tax is a bit below 77%. So we still want to go. But last time, we announced a number, the government increased the percentage. So I don't think that this time, it will increase above 80%, but they might better remove it. And you know that as of next year, the U.K. will not be considered anymore from that standpoint as a part of the EU. So we see it more as a fading away exemption than a perpetual legislation.
Operator: [Operator Instructions] We will now move on to our next question from Lynn Hautekeete of KBC Securities.
Lynn Hautekeete: I have three questions. The first one is on your corporate taxes. You've outperformed your guidance based on lower corporate taxes this year. What do you expect for 2025, given the FBI cuts that will lead to €3 million additional taxes?
Jean-Pierre Hanin: I'm sorry, but the connection is very bad. Could you repeat your question, please?
Lynn Hautekeete: Yes, sure. Yes, the first question is on the corporate taxes. You've outperformed your guidance based on lower corporate taxes. Could you please elaborate on that? And could you also indicate what you expect for 2025, given that you were higher taxes on the back of the FBI cut?
Jean-Pierre Hanin: Okay. So yes, Jean.
Jean Kotarakos: So, this was said in the past, indeed, the FBI status disappears on the 1st of January '25, in the Netherlands. That has an impact of €2 million -- €2 million on the corporate income tax there. And then, you know that the government change several usual rules, rules for usual companies in the Netherlands in the fall last year or this year. And that has another €3 million impact. So all-in-all you can count for an increase of about €5 million of the taxes.
Lynn Hautekeete : Okay. That's clear. Perfect. And second question I had, probably also for Jean was regarding the cost of debt that you're guiding for 2028, just to be 100% sure, the 2.2%, that is before the refinancing of the benchmark bonds. Am I correct?
Jean Kotarakos: No, it's for the year, it's the average cost of debt for the year '28. And based on the existing maturity profile, the existing hedges that we have and so on.
Lynn Hautekeete : Okay. And in that assumption, you refinance your bonds close to 4%.
Jean Kotarakos: Lower. I think, it's below that. Based on the current assumption, it's lower than that.
Lynn Hautekeete : Okay, clear. And then the last one is, would you consider doing a share buyback given where your current stock price is? And maybe if disposals of offices are accelerating, we could put cash to work. Is that an option? Or is that something you're discussing?
Jean-Pierre Hanin: Well, if you look in the real estate network share buyback have never been very a big success. And I think also it would give a message that we don't have any ideas and projects. So it's not on the agenda.
Operator: We'll now take our next question from Sam Knott of Kolytics.
Sam Knott: Just one for me. Could you help me understand the impact on earnings from the divestments? Because assuming you can reinvest all of those proceeds, is there a big gap between the yields you're selling out and buying at? Or why should we expect an impact on earnings there?
Jean-Pierre Hanin: I'm not sure I understood your question, Sam, because the connection is not good. But if your question is to ask what is basically the net impact of selling and buying depending on the yield of assets we divest and the yield on acquisition. Is it your question?
Sam Knott : Yes, and why you're expecting that to be negative?
Jean-Pierre Hanin: And why we expect what, sorry?
Sam Knott : Sorry, I think, the connection is bad. Why you're expecting -- why you're saying your earnings is going to decrease because of that?
Jean-Pierre Hanin: We will call you after the call because we didn't understand the question. So the decrease in EPS is basically linked to divestment we have made and more than €700 million over the last year. It's not linked to necessarily change in yield. For a yield difference between assets we are selling and new assets, well if I sell an office outside of the CBD, which, of course, is a high yield, and I reinvest, recycle this as we did in the past, in Healthcare. It's clear that the yield will be lower, but it's really on a case-by-case basis. So I'm not sure I'm probably answering your question because I don't understand it correctly. Jean, may be you?
Jean Kotarakos: You will also see in the press release that we see when you speak of the outlook, that the effect of the divestments amounts to €20 million on the rental income net of related charges. If it can help because we did not hear the question, in fact, but we can speak after the call.
Operator: [Operator Instructions] We will now take our next question from Alexander Totomanov of Green Street.
Alexander Totomanov: One question for me. Earlier this week, Aedifica reported a boost from contingent rental income in part of its U.K. portfolio, essentially additional rental income paid by lessees if certain EBITDA margin or EBITDA rent covered thresholds are met. Is this an arrangement you have for some of your leases? And is this a direction that you see the industry going in?
Jean-Pierre Hanin: Well, the -- first, I don't know exactly what they cover for their own portfolio of contingent rent, but it's not something on the U.K. market, which is, I would say, well spreaded. Usually, people talk about contingent rents to basically compensate on incentives that were given in the past and where basically the operators are coming back to better performance, they basically give a kick on the rent because of the session of the past. So broadly speaking, on market, contingent rent are still quite exceptional, if we are talking about variable rent. That's -- so you see -- I'm cautiously answering, because it's something I don't think that you can extrapolate or exaggerate. It's more related to what has been done in the past with a specific portfolio that -- so recovering from past incentives than really a new set of variable rents.
Operator: There are no further questions in queue. [Operator Instructions] No other questions coming through. I will now hand it back to Jean-Pierre for closing remarks.
Jean-Pierre Hanin: Well, very good. Thank you to all of you. And of course, as you know, our Investor Relations team is always ready to answer to your questions. So if you have any follow-up on the discussion of this morning, always pleased to answer to them. Thank you for your attention, and have a good day. Bye-bye.
Operator: Thank you. This concludes today's call. Thank you for your participation. You may now disconnect.